Operator: Good day, and welcome to AIG's Second Quarter 2020 Financial Results Call. As a reminder, today's conference is being recorded. At this time, I would like to turn the conference over to Ms. Sabra Purtill, Head of Investor Relations. Please go ahead.
Sabra Purtill: Good morning and thank you all for joining us. Today’s will cover AIG's second quarter 2020 financial results announced yesterday afternoon. The news release, financial results presentation and financial supplement were posted on our website at www.aig.com, and the 10-Q for the quarter will be filed later today after the call.
Brian Duperreault: Good morning, and thank you for joining us today. I hope everyone is staying healthy and safe. Like last quarter our team is participating on the call from different locations. I'm joined by Peter, Kevin and Mike and Doug Dachille, our Chief Investment Officer will also be available for Q&A. AIG continues to show remarkable strength and resiliency as COVID-19 remains a formidable and ongoing catastrophe. Our global workforce has adjusted to working remotely and I am incredibly proud of how the team has become more unified and focused on supporting each other, our clients and other stakeholders during this unprecedented time. Throughout the second quarter, we continue to build on the strong foundation created since late 2017 to instil a culture of underwriting excellence, adjusted risk tolerances and implement a best-in-class reinsurance program. These actions strengthened and protected our balance sheet and are allowing us to effectively manage through COVID-19 and its collateral effects on the global economy in addition to natural catastrophes. We also made progress on strategic initiatives across AIG, including the early June closing of the sale of a majority stake in Fortitude, which significantly de-risked our balance sheet and represented the vast majority of our legacy portfolio. Our focus on de-risking is also reflected in how the overall investment portfolio was held up during this extended period of market uncertainty.
Peter Zaffino: Thanks, Brian. And good morning, everyone. Today I plan to provide more detail on Brian's comments regarding the General Insurance second quarter results, COVID-19, the current market environment and I will finish with an update on AIG 200. This month marks my third anniversary of joining Brian at AIG and when I look back at where we started our journey, the progress our team has made is extraordinary. As we've discussed on prior calls, during our first year at AIG we determined the GI portfolio required a complete overhaul in terms of underwriting culture, establishing global standards and dramatically altering limits deployed. In addition, we knew that our businesses needed to be repositioned in the marketplace to become more competitive and relevant to clients. We also moved quickly to design a comprehensive global reinsurance program, which has been evolving as our portfolio improves. This program vastly reduced volatility and unpredictability in outcomes and was a critical component of our overall strategy, allowing us to move faster in re-underwriting the GI portfolio. We built a world-class team and a strengthened bench across the world and our completely revamped risk appetite was successfully communicated to and accepted by the marketplace. We also achieved our goal of entering 2020 with an underwriting profit and since the second quarter of 2018 our adjusted accident year combined ratio has gone from 101% to 94.9%, a 610 basis point improvement. This is a result of the outstanding work done by the team and we've built considerable momentum that will allow us to continue to improve our financial results. With respect to our global commercial portfolio, it has been significantly remediated and while there will always be opportunities for improvement this portfolio is now positioned for further strengthening, more diversification and profitable growth. In Personal Insurance, as I outlined in our last call, we significantly de-risked private client group, known as PCG with the creation of Syndicate 2019 through our partnership with Lloyd's. In addition in late June, we announced an agreement to transition the PCG upper middle market clients to Liberty Mutual and Heritage Insurance this fall. PCG is a market leader and the innovative capital structure we carefully designed with Lloyd's, coupled with the disposition of our upper middle market business allows us to now focus on the areas in the high net worth segment where we bring the most value clients, as well as our brokers and agents.
Kevin Hogan: Thank you, Peter. And good morning, everyone. Today I will discuss overall Life & Retirement results for the second quarter, our current outlook and the results for each of our businesses. Life & Retirement recorded adjusted pre-tax income of $881 million for the quarter and delivered adjusted return on attributed common equity of 13.2%. With a significant rebound in equity markets during the quarter, we saw favorable benefits to both reserves and deferred acquisition costs, which had been impacted by negative equity market returns in the first quarter. This market recovery is not reflected in our private equity returns for the quarter, since they are generally reported on a one quarter lag. Adjusted pre-tax income decreased by $168 million from the very strong second quarter of last year, driven by unfavorable mortality resulting from COVID-19, lower returns from fair value option bonds to the volatile credit spreads, and the expected spread compression. Our current quarter also benefited from significant yield enhancements related to low interest rates, whereas results for the second quarter last year reflected a large IPO gain from a single private equity holding. Recognizing the limits of sensitivities, especially in times of macroeconomic stress and historic volatility, the sensitivities we previously provided have generally continued to hold up. However, our reported base investments spread compression is higher than we would otherwise expect, as we have continued to maintain liquidity and have held higher levels of cash on our balance sheet. Excluding the impact from this larger liquidity position, our base investment spreads would continue to be in the 8 to 16 basis point range of annual spread compression. Relative to equity markets and total yields, we have also updated our sensitivity estimates as of the end of the second quarter. We would expect a plus or minus 1% change in equity market returns to respectively increase or decrease adjusted pre-tax income by approximately $40 million to $50 million annually, a modest increase based on higher market levels than the first quarter. As to rates, a plus or minus 10 basis point movement on 10-year reinvestment rates would increase or decrease earnings by approximately $5 million to $15 million annually consistent with prior quarter. As always, it is important to note that these market sensitivity ranges are not exact nor linear, since our earnings are also impacted by the timing and degree of movements, as well as other factors. Our risk management and discipline are serving us well in these challenging times, noting our hedging program has continued to perform as expected and our balance sheet remained strong. We currently estimate our fleet risk-based capital ratio for the second quarter to be between 420% and 430%, well above our target range of 375% to 400%, providing a good buffer for the uncertainty of the current environment. Further, as we have repriced and restructured many of our products, our new business margins generally remain within our targets at currently minimal returns  Sales were significantly lower in the quarter, especially in the retail annuity market, as our distribution partners responded to their own challenges. Towards the end of the quarter, we began to see improvement in retail annuity activity, as our distribution partners responded to the new environment. As of today, based on early indications, we have seen a strong rebound in sales compared to June and our retail new business pipeline continues to build, suggesting improving volumes from historically low second quarter levels. Our broad position across products and channels has been especially advantageous during these times. For example, as retail annuity sales languished in the second quarter, we expanded our pension risk transfer business, concluding several significant reinsurance transactions. We remain well-positioned and confident to deploy capital as attractive opportunities arise across our businesses. Now, I will turn to our second quarter results for each of our businesses. The challenging sales environment for individual retirement that I noted resulted in negative net flows for annuities. For group retirement, premiums and deposits decreased due to lower new group acquisitions, as well as reduced individual product sales. Despite lower sales, net flows were essentially flat due to lower group and individual surrenders  For our Life Insurance business, total premiums and deposits increased due to higher international life premiums. Our estimate for the impact from excess mortality of all causes, including COVID-19 is also in a  level of mortality net of reinsurance and longevity offsets that is modestly higher than pricing assumptions. Based on a small and evolving dataset, we currently estimate that around 40% of our COVID-19 related death claims reflect an acceleration of claims we would have otherwise experienced in the next five years. Our recent mortality experience will be factored into our longer term experience studies in our annual review of actuarial assumptions which will occur in the third quarter. In isolation, we do not currently expect COVID-19 losses to have a large impact on our long term mortality assumptions. For institutional markets, adjusted pre-tax income was favorably impacted by the yield enhancement activity I noted earlier. We significantly grew premiums and deposits and continue to develop attractive new opportunities across the portfolio. In particular, the pipeline for pension risk transfer opportunities, both direct and through reinsurance is very strong. To close, we remain well-positioned to meet the ever growing needs for protection, retirement savings and lifetime income solutions. Now, I will turn it over to Mark.
Mark Lyons: Thank you, Kevin and good morning all. AIG produced strong underlying performance this quarter, particularly in the thematic areas of risk reduction, liquidity and capital preservation. Overall, AIG reported adjusted pre-tax income of $803 million and adjusted after tax income of $571 million or $0.66 per diluted share, compared to a $1.3 billion or a $1.43 per share in the second quarter of 2019. The key drivers of the year-over-year reduction were higher catastrophe losses from COVID and civil unrest, along with lower net investment income. Positive contributions stem from continued improvement in general insurances, adjusted accident year results, stronger likely retirement returns and our ongoing disciplined focus on costs. As Peter noted, the continued focus on general insurance underwriting profitability and expense management drove 120 basis point improvement in the accident year combined ratio ex-CAT. However, commercial lines was even stronger with a 400 basis point improvement on a global basis, made up of a 320 basis point improvement in North America and 500 basis points of improvement in international. General Insurance's second quarter APGI  was a $175 million, down $805 from the second quarter of 2019, due to a $350 million reduction in net investment income, driven by the combined impact of alternative investment losses and the continued impact of lower reinvestment rates on available for sale income and a $500 million increase in catastrophe losses. Peter discussed second quarter catastrophe losses, but I'd point out that in the aggregate they represent 11.9 loss ratio points and that the non-COVID non-civil unrest CAT reserves represent just 1.6 loss ratio points versus 2.6 loss ratio points in the second quarter of 2019. Prior period development was net favorable by $74 million, $53 million of which was associated with the amortization of the ADC deferred gain. For North America personal lines, the combined impact of lower travel premiums and the Syndicate 2019 structure sessions caused a sharp change in business mix within the segment for the quarter, which impacted both the loss ratio and expense ratio compared to the prior year. These impacts, which include some catch-up premiums caused the net written premiums to be negative for the quarter. The structure however should significantly reduce the future only combined ratio volatility of the Personal lines book, while allowing us to continue to profitably grow this business. Looking forward to 2021, we anticipate retaining approximately 25% of the PCG premium. However for the balance of 2020 for the totality of the North America personal insurance segment, as reported in our financial supplement, we estimate roughly $425 million and $325 million of net written premium and net earned premium respectively for each of the next two quarters. Turning to Life & Retirement. As Kevin mentioned, Life & Retirement achieved a 13.2% annualized return on attributed equity for the quarter, that $881 million of APTI was aided by lower DAC amortization due to the recovery of the financial markets, after the large increase in amortization in the first quarter of 2020 related to that quarter's market decline. So a better measure is the year-to-date nearly 11% return on attributed equity. Kevin described the market through his various product sets, but it should also be noted that surrender/LAP rates were noticeably lower for both individual and group retirement, as well as the life unit of both the quarter over quarter and sequential basis. Shifting to Investments. Net investment income on an APTI basis was $3.2 billion or $537 million lower than the second quarter of 2019 and impacted both General Insurance and Life & Retirement APTI. The reduction was primarily driven by a $514  million year-over-year negative swing in private equity results, with $276 million of losses recorded in this second quarter compared with a particularly high amount in second quarter of 2019 reserve – returns, which it has included a one-time large IPO gain. Like others in the industry, we generally report private equity on a one quarter lag due to the timing evaluation information received from the managers. So the second quarter's loss reflects March 31 2020 valuations. On a sequential basis, however, APTI net investment income improved by almost $500 million from the first quarter, even though the second quarter only had two months of Fortitude related NII. This reflects the impact of the strong capital market recovery in the second quarter on hedge funds and fair value option income. But please note that in future quarters APTI and after tax income will not include Fortitude, although the investments themselves will continue to be included on our GAAP balance sheet. We'll get into more of that too. Turning to other operations, the adjusted pre-tax loss after consolidations and eliminations was $510 million, an improvement of $25 million sequentially and $76 million of improvement from the fourth quarter of 2019. Reflecting AIGs continuous focus on expense reductions, corporate interest expense was slightly higher due to our May bond issuance and will increase corporate interest expense for the second half of 2020 and into the first half of 2021. Our legacy segment had $257 million of APTI in the quarter, $96 million of which was from Fortitude before the impact of not-consolidating interests. The remaining $161 million is related to other one-off General Insurance, Life & Retirement and Investment portfolios. As Brian noted, on June 2nd we completed the sale of Fortitude and because it closed during the quarter the second quarter included earnings for April and May only in APTI. The net earnings on the funds withheld assets are excluded from APTI for the month of June, as the economics of those assets were shifted to Fortitude upon closing. Now shifting from adjusted after tax income to GAAP below the line impacts on net income attributable to common shareholders equity. The second quarter included two largely non-economic items I'd like to unpack. The first item which I focused on during our last call involves the GAAP recognition of our variable annuity hedging program, which requires a non-performance adjustment or NPA. In the second quarter, we recorded an approximate $1 billion GAAP pre-tax loss, which is shown and discussed on pages 158 through 160 of the 10-Q, which will be filed later today. And this represents a partial reversal of the large gains we recorded in the first quarter of 2020, as our hedge program is designed to offset interest rate and equity market changes on annuity reserves. The second item involves the sale of Fortitude. As Brian noted, the completion of this majority stake sale represents a significant milestone in de-risking our balance sheet and improving our asset liability management profile. However, it also created a lot of noise on a GAAWP basis, so I will highlight five key impacts that cut through the associated complex accounting. But I will also direct you to the robust disclosures we've included in our slides, financial supplement and 10-Q to help navigate the accounting involved. Additionally, our investor relations staff now stands ready to help with your understanding. The five core highlights I'd like to make sure we communicate are as follows. First, nearly $35 billion of GAAP reserves are now recoverable from a fully collateralized third party re-insurer in which AIG now retains a 3.5% interest. Second and perhaps most importantly is the recognition that the GAAP accounting impact is largely non-economic, as this transaction had no adverse impact on the statutory capital of our insurance company. The assets are marked to fair value, but GAAP reserving practices don't reflect analogous fair value adjustments on the liabilities. Accordingly had the policyholder benefit reserves been fair valued to reflect current low interest rates their fair value would have been higher and have more closely aligned the GAAP accounting with the true underlying economics. Third, from a GAAP accounting perspective the impact on common shareholders equity is a $4.3 billion reduction. However, the impact on adjusted common shareholders equity is a lesser $2.5 Billion reduction with the major difference being an adjustment for $4.2 billion of unrealized appreciation on the supporting funds withheld assets included in our AOCI. As you recall, AOCI is one of the items historically removed in AIGs definition of adjusted common shareholders equity. Fourth, the components of the $6.7 billion dollar GAAP net income loss are comprised of two broad items. First is a loss on de-consolidation of the previously disclosed $2.7 billion for prepaid reinsurance assets and deferred acquisition expenses. The second item is the loss on sale which totaled $4 billion, which is primarily due to the increase in Fortitude GAAP equity from mark-to-market on the investment portfolio, primarily the funds withheld assets. Fifth, AIG has updated several non-GAAP financial measures this quarter to remove asymmetrical accounting treatments. There will be ongoing below the line volatility in our GAAP result. So to help navigate this, our continuing disclosures, plus our Investor Relations team will drive understanding of this asymmetry and the need for these definitional adjustments. And lastly on this, we will be-re segmenting before year end to better align with management's view of assessing operating performance, given the legacy segments now expected de minimis contribution to APTI. Turning to the balance sheet. At June 30th 2020 book value per share was $71.64, down 2.7% from one year ago and adjusted book value per share, which excludes AOCI, the DTA and unrealized gains on the Fortitude funds withheld assets was down 1.7% from one year ago. During the quarter, tighter credit spreads compared to March 31 reversed the negative mark-to-market impact on AFS securities that we had at March 31, with a net increase in AOCI of $10.2 billion in the second quarter. We continue to place a high emphasis on maintaining ample liquidity and a strong capital position in this economic environment. At June 30, AIG had parent liquidity of $10.7 billion. This is in addition to our fully undrawn $4.5 billion revolving credit facility. During the second quarter, we issued $4.1 billion of senior debt and receive $2.2 billion of proceeds related to the sale of Fortitude, of which $1.3 billion were retained at parent. We also repaid our precautionary $1.3 billion March 2020 credit facility borrowing in full and made a $548 million pre payments to the IRS related to principal and penalties on our previously disclosed tax settlement on cross border transactions that date back to the 1990s. We will pay the balance of this settlement up to $1.2 billion pending receipt of the final interest calculation potentially by the end of this year, with the ultimate amount depending on the potential application of interest netting for the crude interest calculation which AIG has requested. We do not plan to repurchase shares in the near term and have $1.3 billion in maturity senior notes in the second half of 2020, as well as $1.5 billion of maturing notes in the first quarter of 2021. All of which will be funded with cash on hand. Turning to subsidiary capital. AIG's insurance fleet capitalization and liquidity levels remained very strong. At June 30th, RBC fleet ratios for General Insurances US pool as for Life & Retirement are above the prior year levels and above the higher end of our target operating ranges, providing solid buffers for absorbing potential COVID-19 losses, capital market volatility or credit impacts. Also, our ratings and stable outlook were affirmed by S&P following its regular annual review. We continue to prioritize liquidity, strong operating capitalization and financial flexibility as we navigate this ongoing uncertain environment. Our balance sheet and liquidity are strong and our investment portfolio is diversified and significantly derisked compared to years past. We remain focused on the continuing improvement of General Insurance profitability, managing Life & Retirement prudently in a low interest rate environment and executing AIG 200 on schedule and on budget. We are convinced that AIG will exit this unusual crisis as a stronger, more resilient company. And with that, I will now turn the call back over to Brian.
Brian Duperreault: Thank you, Mark. I think it's time for Q&A. So operator, can we start the Q&A process?
Operator: Thank you.  We’ll now take our first question from Michael Phillips from Morgan Stanley. Please go ahead. Your line is now open.
Michael Phillips: Thank you. And good morning, Brian and everybody. First question, focus on North America Commercial lines where your core loss ratio improvement  looks pretty decent on the surface. I guess, I'm going to dive into that a little bit. You know, we've seen some competitors talk about some frequency benefits, because of COVID. I suspect that's not much the case here. But I want to make sure, given your, you know, your book of business, high layers, high limits and larger corporate accounts, that may not see - you may not be seeing as much frequency benefit from COVID in that core loss ratio for North America Commercial. So can you maybe talk about that a little bit and go through what’s really behind that 1.7  improvement?
Brian Duperreault: Well, I think that's - Michael, that's a good question for Peter and the frequency benefits or lack thereof. Peter, can you answer that?
Peter Zaffino: Yeah, sure. Brian, thank you and good morning, Michael. You’re correct, we did not take the frequency benefits in the quarter. If there was any sign of a better frequency relative to expectations, it was in some of our international business in auto in Japan. But we've seen that over the last several quarters. You know, when you think about - I'm going to go to workers compensation, because I think that's the one that stands out the most, which is you know, we've had frequency in COVID, it's typically I would say 70% in industries related to healthcare. But it's very unique because again, we have high retentions, most of that over 90% is related to businesses where we have a deductible of $1 million or greater. So that frequency really hasn't impacted us. And then we have seen a commensurate reduction in frequency in non-COVID related claims. Again, their observation this quarter, again, a lot of is on retention business, but we haven't recognized it yet because we want to see how it emerges. You know, one thing back on COVID workers comp, which is very interesting is that, over 50% of the claims that we've seen over the last four months, about 50% of them are already closed. So it's a very different type of loss relative to workers compensation. Other the lines that we've seen in the liability and auto, again, it'll be slow to recognize that, we've seen reduced frequency and we’ll give you an update next quarter once we have a little bit more experience.
Michael Phillips: Okay, great. Thank you. Second question would be throughout all last year, you guys were one of the few companies that did actually have a margin improvement, and that's because of all your renovating  opportunities done for the past couple years. I guess, can you talk about where are you in that process? And what inning are you in with the efforts  You mentioned rate, now we're all getting rates or rates from all trend you said. But how much of that re-underwriting effort has been done and how much more still can be done?
Brian Duperreault: Okay, Michael, I think again, that's Peter.
Peter Zaffino: Yeah, Michael. So I think we're in a really good place. I mean, you know, we - when I said in my opening comments, what are the areas where we had headwinds in new business, which I think the industry has seen when everybody was going to work remotely, what drove the growth, it was driven by better retention, we had, you know, 400 basis points of improvement, in international 500 basis points improvement on retention of our clients within North America. So I think that reflects that we like the portfolio, and we're trying to be very helpful to our clients and distribution partners by deploying capital, of course, you know, in a different dynamic and need to make sure that we're getting the appropriate returns. And I think you saw that in the rate. So I think the combination of retention of a portfolio we like and we can grow, combined with a positive rate environment, I think contributed to the overall growth on the NPW commercial.
Brian Duperreault: Okay, Michael.
Michael Phillips: Thanks.
Brian Duperreault: Next question, please.
Operator: We’ll now take our next question from Elyse Greenspan from Wells Fargo. Please go ahead. Your line is open.
Elyse Greenspan: Hi, thanks. Good morning. My first question is also related to the Commercial business. You guys mentioned some of the prices that you're getting on into the double digits on and said that that's in excess of trend. Could you just give us a sense on you know, where loss trends fit in your commercial business and how that's, you know, changed so far this year, just as we think about kind of the spread between price and loss trend on that, you know, can start running through your margin?
Brian Duperreault: Okay. Elyse, thanks. I think in terms of trends, et cetera, certainly Mark is the better responder. Mark, can you answer the question?
Mark Lyons: Yeah. Thank you, Brian. Appreciate that. Hello, Elyse. So you know, in the areas, I think that mostly asking about, take like excess businesses, that trend, pure loss cost trend is approaching double digits. When you get into auto, it's a little bit less, probably in the 7%, 8% area. And then other primary lines are a little less than that. But you've got - when you weigh it all together with things like you know, with property and other loss sensitive-related exposure bases, it kind of drops it off. So there's - I'm not going to get into the weighted average in total, but I’ll tell you that we look at every single line and reflect that in our thinking. I wanted to give you the range where it could be a couple percentage points and some short tail lines up to almost double digits and some more volatile excess line.
Elyse Greenspan: Okay, that's helpful. And then my second question is on the earned premium, I guess on Commercial lines and you know, Personal lines is impacted by that quota share. But within Commercial we've seen some pretty good growth in both North America and internationally on the written  side, but earned on, no, it's still decelerating just given, you know, a lot of your business mix actions that you took. So is it right way to think about it that, you know, just given the earn-ins, we could see some pressure on that earned within Commercial over the balance of the year and that could start to see some growth in 2021?
Brian Duperreault: Mark, why don’t you take that one too, please?
Mark Lyons: Yeah, I think you actually answered your own question, you get the increasing, you know, impact of the Casualty quota share, and that's really what you're seeing.
Brian Duperreault: Okay. Elyse, thank you. Next question please?
Operator: Next question is from Brian Meredith from UBS. Please go ahead. Your line is open.
Brian Meredith: Thank you. One quick numbered questions and another broader question. First one, Mark, I wonder if you could give us a quick guidance on what dividend and interest income is going to look like in General Insurance? Big drop off, obviously, in the second quarter, was there anything unusual there? Is that kind of a run rate given where we are right now, as far as investment yields?
Brian Duperreault: Hey, Mar. Go ahead, please.
Mark Lyons: Yeah, thank you, Brian. You've cut out a little bit on me Brian, were you asking about investment yields in GI?
Brian Meredith: Yeah. I am looking overall but also in GI, in particular, you had a big drop off in investment yield sequentially. And I am just wondering if there's anything in there or rate securities or something else that was causing the drop so much or that's kind of a true run rate?
Mark Lyons: Yes, yes, actually. You guys are getting good. You’re answering you own question. So there's two things going on, the last quarter, I think was the first quarter we allowed the disclosure to even see that. So the drop off you see is somewhat caused by what you just said, and I'll get it that more a little bit later and one of it is just a bit of a correction. So, last quarter's GI yield was over – so think of it as overstated. There was a $20 million Canadian security correction. But I think the heart of your question, so that would have come down another 12 basis points, something like that. To the extent of - on the current quarter with the structured securities, you're right, a lot of that stuff is floating, but you're really required to retrospectively look at it and look at what has happened and what your view of the future is, and what that implied yield is and if that yield is lower than what you've booked, you have to do a catch up on it. And that's what you're seeing in the quarter. So you can adjust for some of those Brian, and it looks to me it be a 9 to 10 basis point drop off sequentially, not as steep as it appears.
Brian Meredith: Great.
Brian Duperreault: Brian, do you have a follow up?
Brian Meredith: Yeah, absolutely Brian. And this is I guess, more for you and Peter. Given how low yields are right now. I'm wondering what type of underlying combined ratio or combined ratio do you need to achieve, do you believe in your General Insurance business now to earn an acceptable return on capital? And if you had to kind of alter your targets?
Brian Duperreault: Well, that's a great question, Brian. I guess I'll take that. Yeah, I mean, double digit returns with a higher interest rate makes sense with these low interest rates, it probably comes down. You know, I would say that, it's an evolving - right now, it's an evolving process and, you know, its difficult with COVID to understand what steady state looks like. But, you know, my gut would say that something in the double digit range is possible. It's becoming more difficult because of the low interest rates. So it's more like, you know, what's the return over the risk free rates. So, I - it's hard to say, you know, we're just driving this thing down. When we get into a market like this where rates are rising, terms and conditions are improving, you're not - you don't have a fixed number that you're going to try to hit. We're going to take advantage of the market and have the results that we can achieve with this elevated level of risk received  in the marketplace, I guess, that’s the best way to put it Brian. Can me move on to the next question, thanks.
Operator: Thank you. Our next question comes from Erik Bass from Autonomous Research. Please go ahead. Your line is open.
Erik Bass: Hi, thank you. As we've talked about some of the benefits from Syndicate ‘19 in terms of volatility and reduction in the fee income you'll generate and those makes sense and should be clear positive over time. Stepping back from a near term perspective, do you see this as enhancing or detracting from the normalized earnings of the personal line segment?
Brian Duperreault: Eric, let me start with this and then I'll let Peter pick it up. So look when you make a change like this is certainly a disruption you know, with ceded premiums and the unearned going out, and so, there will be some dislocation. Obviously, we saw in the second quarter to bleed into the third. Overall though, you know, when things normalize, as we approach the end of the year, this will be a net benefit to the company, it is a - as Mark said, a capital-light structure and it basically allows us to grow the business and we could not grow it given the concentration of CAT exposure, with the approach we've taken now the structure of Lloyds and its capital efficiency and the ability to spread it, we can now take the benefits net and actually grow it and have the net grow. Peter, do you want to add anything to that?
Peter Zaffino: Yeah, just a couple of points. Brian, as you said, I mean I think de-risking, reposition the portfolio for growth is important. That reduced volatility increase in capital flexibility. I think the second quarter is going to be the noisiest just because of the catch up on the, you know, unearned premium, and seasonally the second quarter was the largest on the net premium written side. So again, you’ll still see some noise in the third and fourth, but not to the degree you saw in the second and we just been very focused on accelerating the transition. So we can get to 2021 with the unearned, you know, largely gone away and then reposition Syndicate 2019 to be very competitive in the market, in terms of value. So we're really excited about what this is going to mean for the business and for our clients, and distribution partners.
Brian Duperreault: Do you have a follow up Erik, do you have a follow up?
Erik Bass: Yes, thank you. And then second, just with the lower level of sales in Life & Retirement, how does this affect your outlook for capital generation? And are you planning to keep any sort of excess capital you generate in the Life subs? Or do you see opportunities to shift capital to P&C to take advantage of some of the more favorable pricing backdrop?
Brian Duperreault: Well, let me have Kevin just talk about the sales, because we are seeing a pickup of it. So it may be premature to talk about our capital, but I'll get back to that. Kevin, you want to start with the sales piece?
Kevin Hogan: Yeah, sure. Thanks, Erik. The quarter was the lowest in memory. But you know, towards the latter part of June, we saw some real signs of life. During the quarter, the channel that really was disrupted the most was the bank channel, which was down around 60%. And if we look at just the month of July, over June, the bank channel was back to almost double. So you know, that the disruption that impacted that channel the most we've seen starting to turn around. For financial advisors, broker dealers, and IMOs, you know, they were down about 40%. But I think that the virtual sales practices that they adopted, and we tended to reprice earlier than many companies. And so I think as other companies caught up with repricing that leveled the playing field a bit. Again, what we saw following the month of June, looking at July over June, we saw substantial increase in sales and the pipeline is growing and our sales of annuities per day  continued to increase. So we're pretty optimistic that if conditions continue the way they are, we'll see recovery in July over June and in the third quarter over the second. Life Insurance continued to grow despite the disruption, we saw about 4% growth in the second quarter. And that trend continues, particularly our direct channel is performing very well. And in retirement services, it's important to note that periodic premiums, which are really the backbone of that business, we’re only down 4% in the second quarter. And again, you know, our advisor channel is back up and focused on their customers and its individual sales generally follow the retail individual retirement sales. So when you back that up with the fact that the pension risk transfer business and pipeline is as strong as we've ever seen it and we've opened up the reinsurance channel, we feel cautiously optimistic that second quarter will be the low watermark and our strategy will prevail in the third quarter and beyond, recognizing all the uncertainties in the market.
Peter Zaffino: Yeah. Thanks, Kevin. And I’ll just add, if you look at the – the opportunities seem to be much more in GI though, yes. It's not as extreme as maybe the sales in the second quarter might have indicated. But, you know, we will move our attention where we think the greatest growth and returns are occurring. And right now GI looks pretty good. So we move on to the next question then please?
Operator: Thank you. And next question comes from Yaron Kinar from Goldman Sachs. Please go ahead.
Yaron Kinar: Thank you very much. A couple of questions on GI. So first, can you maybe talk about how you're thinking of loss fix here with rates well in excess of loss trend? On the one hand, you also have the COVID driven favorable frequency, more short term, I guess, on the other. And I asked what's in the context of North America commercial loss ratio, which I guess, improved year-over-year, but actually weakened a bit sequentially?
Brian Duperreault: Yeah. Thanks, Yaron. I think that's a Mark question. Mark, loss fix?
Mark Lyons: I can certainly start that. Thank you, Brian. Well, you do have a lot of forces. We’re happy to be, I think one of the catalysts on this market. And level of increases, Peter talked about it continued to increase at an increasing rate, I think it’s a fair statement. But you do have other things, we don't know the longer term impacts on many third party and first party lines of COVID, for example. Social inflation is more of a general upward movement, as opposed to a lot of specifics that you can nail down. And so I think there's still the thought amongst us in the industry that there's potential for freight  moving up. I think there should be some back to normality between interest rates and inflation and we're probably heading more into an inflationary environment. So a little cautious on the fact that we're seeing this great rate increase, and there's more variability, and I flipped it from a year ago, where there was more variability around, what kind of price increase can we get? Now we see that the magnitude of the price increases we can get, and there's more variability about the future look loss cost trends.
Yaron Kinar: Okay.
Brian Duperreault: Yaron, do you have a follow up?
Yaron Kinar: I do. So in the – in commercial premiums that has been growing, and it sounds like you're pretty constructive on those lines and growth there. Can you talk about the potential offset impact of exposure there? I think we've heard from some of your peers that exposure is coming in and that’s quite a headwind?
Brian Duperreault: Yeah. Peter, can you talk about exposures?
Peter Zaffino: Sure. Thank you, Yaron for the question. I think when you think about compared to our competitors, remember, we don't have as much you know, guaranteed cost business. And so therefore, it's not a direct correlation to effect on payroll sales, and that's going to result in a commensurate premium reduction. You know, as we have the in force book that we have, you know, minimum deposits on our excess business, in most cases. I think when, you know, we look to the future in terms of some of the changes on frequency and changes on payroll and sales, you know, it could have a modest headwind, which is what we had talked about in last quarters call. In terms of exposure base for renewals, and, you know, could have a slight impact on premium, but I would look to it on, you know, we're trying to solve issues on excess. We're deploying capital, I mean, those are - have led to better risk adjusted returns, because, we are still coming up with similar structures. And, you know, while there may be a little bit of light headwinds in terms of overall exposure, should not have a material impact on our premium, as we look to the third and fourth quarter based on what we know today.
Brian Duperreault: Thank you. We've run a little late. Maybe we could take one last question, operator?
Operator: Thank you. Our next question comes from Jimmy Bhullar from JPMorgan. Please go ahead. Your line is open.
Jimmy Bhullar: Hi. On the travel insurance book, I think you wrote a little bit over a $1 billion of premiums last year. Can you discuss how much that shrunk and whether you're seeing any sort of signs of recovery in that book, either in the US or in international markets? And then also on P&C, with you having restructured your portfolio and reinsurance program? Are you thinking about any major changes in reinsurance, as you're looking at next year, given the hardening market there?
Brian Duperreault: Jimmy the first book of business that you referred to was what? I didn't pick that up…
Jimmy Bhullar: The travel book...
Brian Duperreault: Yeah, got it. Yeah…
Jimmy Bhullar: $1billion book and it's shrinking, I'm just trying to get an idea on whether you're seeing…
Brian Duperreault: Thanks, Jimmy. Yeah, Peter, I think those are both yours.
Peter Zaffino: Yeah. So on the first one on the travel, again, the second quarter, you know, you had not only no new sales, you also had cancellation. And so I think that, that was one that was a headwind and contributed to the North American personal negative premium written. Now as we look at, it's hard to predict, again, we don't know what's going to happen with COVID. We don't know when travel is going to resume. It's less than a $1 billion in North America and it's fairly evenly spread in terms of quarter-to-quarter. I think we would have some modest sales in the third quarter, probably about a third as to what our run rate would be. But again, very hard to predict. We think that there is a dynamic in that business that's interesting, which is, you know, nobody really contemplated, I think, in terms of clients, and the CAT. And so I think there's going to be a rebase in terms of how we price this business, what the economics are going forward and don't want to overreact, you know, sort of Q2  a quarter in terms of travel and think that as it starts to rebound, we think the economics will be better. But again, we'll give an update as to what it looks like in the third quarter in terms of if there's a rebound or not. I'm sorry, I didn’t get the second question, Jimmy?
Jimmy Bhullar: It was just on reinsurance prices going up, are you kind of thinking about sort of maybe retaining more risk or changing your reinsurance program in anyway?
Peter Zaffino: Well, we're going to have to, you know, try out our virtual Monte Carlo in September, which is really with a kick off I think we probably would have had 100 meetings scheduled at AIG under normal conditions. I don't think that we're going to - you know, we look at the reinsurance structures than any repositioning, it will reflect the growth portfolio, not trying to say the market conditions are much stronger. Therefore, we're going to dump treaties because we always talked about the reduction of volatility, making sure we had more predictable outcomes. And we have great partnerships that we trade across every geography and multiple lines of business with our reinsurance partners. But we would expect to see changes in our reinsurance programs that reflect the excellent underwriting that we've been doing, and the gross improvement that we've seen quarter-to-quarter. So we begin to have those discussions, what we have in terms of structures? I don't think they'll be something that materially changes, but I would expect some refinements to reflect the portfolio as it is today.
Brian Duperreault: Okay. Thank you, Jimmy. Thank you.
Brian Duperreault: Well, let me just close and thank everybody for joining us this morning. And I particularly want to thank my AIG colleagues around the world. I mean, these last few months have really been challenging on many, many fronts and I'm so grateful for your hard work and dedication on this journey we're on and I hope everyone stays safe and healthy. Wear your masks. Okay. Thanks, everybody.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for your participation. You may now disconnect.